Operator: Good morning, and welcome to PACCAR’s Second Quarter 2015 Earnings Conference Call. All lines will be in a listen-only mode until the question-and-answer session. Today’s call is being recorded. And if anyone has any objection, they should disconnect at this time. I would now like to introduce Mr. Ken Hastings, PACCAR’s Director of Investor Relations. Mr. Hastings, please go ahead.
Ken Hastings: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Ken Hastings, PACCAR’s Director of Investor Relations. And joining me this morning are Ron Armstrong, Chief Executive Officer; Bob Christensen, President and Chief Financial Officer; and Michael Barkley, Vice President, Controller. As with prior conference calls, if there are members of the media on the line, we ask that they participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties, including general economic and competitive conditions that may affect expected results. I would now like to introduce Ron Armstrong.
Ronald Armstrong: Good morning. PACCAR reported record quarterly net income of $447 million for the second quarter of 2015. Net income increased 40% compared to the results generated in the second quarter last year. PACCAR’s second quarter sales and financial services revenues were $5.1 billion. Gross margins for truck, parts and other operations were strong at 15.1%. The excellent margins coupled with the company’s rigorous cost control generated 8.8% after tax return on revenues. I’m very proud of our 24,500 employees who have delivered industry-leading products and services to our customers worldwide. PACCAR delivered 41,600 trucks during the second quarter, an 8% increase versus the first quarter this year and slightly ahead of our expectations. The improvement reflects increased truck deliveries in North America and Europe due to economic growth and strong freight demand. Looking ahead, we expect PACCAR’s global truck deliveries in the third quarter to be slightly lower compared to the second quarter, reflecting the normal summer factory shutdown for DAF and Leyland. Third quarter gross margins for truck segment will be impacted by a higher percentage of deliveries to large fleets and the summer shutdown in Europe. The European economic and truck market outlook continues to improve. GDP growth expectations for this year are 2.4% in the UK, which is PACCAR’s strongest market in the region, with 1.5% GDP growth on the continent. Freight transport activity on German highways is up 2.6% year-to-date through June compared to the same period last year and it’s at the highest level since the German toll system was launched in 2007. DAF heavy truck order intake for the second quarter was 60% higher than a year ago. We’ve raised our forecast for Europe’s greater than 16 ton market to a range of 240,000 to 260,000 units, reflecting the strength in orders and the improved economic outlook. DAF’s heavy truck market share is 15% year-to-date. The US economic picture remains positive with GDP forecast to grow 2.4% this year. The housing and automotive industries are bright spots in the economy and create a large amount of freight. Housing starts are projected to grow 11% this year to 1.1 million and the automotive industry is expected to deliver 16.9 million vehicles, near the record level of 17.3 million set in the year 2000. US freight tonnage is at near record levels. We’ve raised our US and Canadian Class 8 truck industry retail sales estimate to a range of 270,000 to 290,000 units this year. The stronger market reflects expansion in industrial fleet capacity due to continued strong freight fundamentals. Peterbilt and Kenworth’s combined share of the US and Canadian market is 28% year-to-date. PACCAR’s parts business generated record quarterly pre-tax profits of $146 million, a 15% increase compared to $127 million in the same quarter of last year. The strong results were driven by economic growth in the US and Europe and the many innovative products and services offered by PACCAR parts and our dealers. PACCAR parts revenue was $777 million compared to $778 million achieved in the second quarter of 2014. Excluding the effects of foreign currency translations, parts revenue would have been up 7% for the second quarter and first six months of this year. PACCAR Financial Services’ second quarter pre-tax income was $91 million compared to $92 million earned a year ago. Foreign currency translation reduced profit by $4 million for the quarter. The portfolio continues to grow and perform well. PACCAR’s strong balance sheet and positive cash flow have enabled the company to invest $5.9 billion in new products and facilities in the last 10 years. Our outstanding results this year reflect the quality of those investments. Looking forward, PACCAR is well positioned for future growth, with further investments in geographic expansion, aftermarket parts and service capabilities and powertrain and truck technologies that increase fuel efficiency, safety and reliability. This year, PACCAR’s capital spending of $325 million to $375 million is targeted at enhanced powertrain development and increased operating efficiency of our assembly and distribution facilities. Research and development expenses are estimated to be in the range of $225 million to $250 million. PACCAR’s technology leadership has been enhanced as Kenworth TruckTech+ and Peterbilt SmartLinq remote diagnostic systems are now in production on new Kenworth and Peterbilt Class 8 trucks specified with the PACCAR MX-13 engine. DAF plans to launch its connected truck technology in the fourth quarter of this year. In addition, PACCAR parts has begun construction of a new 176,000 square foot distribution center in Renton, Washington. We expect this distribution center to open in mid-2016. DAF’s cab factory in Westerlo, Belgium plans to begin construction of a new cab paint facility this year. This environmentally friendly paint facility will increase DAF’s production capacity and utilize the latest robotic technology to improve operating efficiency. PACCAR’s Board of Directors approved a 9% increase in the regular quarterly dividend to $0.24 per share at its July meeting. The company has increased the regular quarterly dividend by more than 165% in the last six years. PACCAR continues to enhance its leadership position in the global truck market by developing the highest quality products and services in the industry and providing excellent returns to its shareholders. Thank you. And I’d be pleased to answer your questions.
Operator: [Operator Instructions] The first question comes from the line of Ann Duignan with JPMorgan.
Ann Duignan: I guess I was interested in – you talked about the investments in powertrain capabilities going forward, can you just give us a little bit more detail on what specifically you’re investing in?
Ronald Armstrong: It’s all about operating efficiency and being the leader in providing that to our customers to reduce their operating cost. So that’s a continual stream of investment in research and development as well as capital to support those initiatives. We’ve got greenhouse gas requirements coming into play in 2017 and additional requirements beyond that. And so we’ll just continue to make those investments to support our customers.
Ann Duignan: And then on European outlook, can you talk about your revised outlook versus the very strong registrations we’ve been seeing year to date particularly in June?
Ronald Armstrong: Well, our revised outlook reflects those, strength in those registrations as well as the strength of the DAF order intake. So we see that there could be some further upside potential as the year progresses. But as we see it now, we see it at that 10% improvement is certainly achievable and so there could be some upside.
Ann Duignan: And where specifically do you think the upside could come from? Is it Germany, UK or some of the weaker southern countries that are just coming from zero basically?
Ronald Armstrong: I think we’ve seen general improvement across all the markets, some a little bit more than others, but general improvement across all.
Operator: Our next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich: Ron, I’m wondering if you could just bridge the margin performance for us in the quarter either year over year or sequentially at the gross margin line. Any specific or significant items that you highlight pricing versus cost, any other factors that you can just maybe help us understand pretty significant expansion on both year over year and sequentially?
Ronald Armstrong: As you know, we’ve always maintained a healthy discipline of rigorous cost control and we continue to do that. So I think the operating leverage is the single biggest factor that we’ve seen contribute to our margin performance over the last 12 months and quarter over quarter. So other positive things include some positive effects of materials and pricing, but those are muted compared to the operating leverage.
Jerry Revich: And then for the parts business, the 7% organic growth in the quarter, can you flush out for us whether Europe was above or below that? And any color that you can give us from a mix standpoint, I think this is the second or third quarter in a row in which parts mix was favorable to you folks, can you just talk about what’s driving that?
Ronald Armstrong: The parts team has done a great job of continuing to build its programs and it’s expanding its all mixed products capability for both trucks, trailers, buses, et cetera. And so we continue to see nice growth in that business. And we just really saw it spread pretty evenly across all of our geographies, both North America, Europe and around the world.
Jerry Revich: And lastly, in Europe, can you tell us what the book to bill was in the quarter or how much lead times lengthened as a result of the orders, just put the 60% order growth into context relative to production in the second quarter, if you don’t mind?
Ronald Armstrong: Again, we don’t think in those terms generally, but the backlog is very healthy and supports our expected plans to increase our build rate during the second half of this year.
Operator: The next question comes from the line of Joe O’Dea with Vertical Research.
Joe O’Dea: The first question maybe more specifically on the margin in looking at the truck segment, because that seemed to be the strongest performer between truck and parts, and a very strong sequential incremental margin there. And so understandably some leverage benefit, but also I think you did talk a little bit about maybe some customer mix that was a benefit. Anything else in the quarter? And then how we should think about the back half of the year margin in the truck segment, whether 2Q is a good benchmark or some of the shifts that might happen to bring that down?
Ronald Armstrong: As I mentioned in my comments, we expect that the third quarter will be impacted by little heavier fleet mix in the third quarter as well is normal factory shutdown that we have in Europe. So some leverage effects related to that.
Joe O’Dea: But other than that, nothing else specifically in the quarter to get 10.5% margin?
Ronald Armstrong: Nothing unusual in the second quarter and we don’t have any expectations for any unusual items in the third quarter.
Joe O’Dea: And then in North America, on sort of vocational demand, any sort of weakening that you’ve seen in those markets related to oil and also just with respect to your backlog, did you see any higher activity in terms of cancellations in the quarter?
Ronald Armstrong: No. Cancellations have been at a very low rate and vocational trucks are very active, lots of reasonable growth in housing construction, commercial construction. So it’s all been pretty steady.
Operator: The next question comes from the line of Patrick Nolan with Deutsche Bank.
Patrick Nolan: Two questions. The first, can you just discuss where you’re seeing some of the pricing dynamics both in North America and Europe?
Ronald Armstrong: I think pricing is reasonably consistent. We have great products, the Peterbilt, Kenworth and DAF teams have pretty much have new product lines that are in the field over the last one to two years and those have been very well received. We continue to invest in fuel efficiency of our engines, the aerodynamics of our vehicles, and all those elements are very well received by our customers. Good value. So continue to achieve our premium pricing for our products. And the outlook is bright as we continue for the rest of this year and into next.
Patrick Nolan: Second question, very strong margin performance in the quarter, but some of your suppliers have actually said running at this pace of production for the industry inherently some inefficiencies that go along with that, do you see that? I mean, when you think about next year’s volume outlook, even volumes off a little bit, the margin still go up in North America or is this kind of really good operating environment in your opinion?
Ronald Armstrong: I think it’s a really good operating environment. I think we’re in a good position right now and obviously our teams in our factories do a great job of managing to the conditions in the marketplace and we expect that that will continue as we move forward of course this year and next.
Robert Christensen: I would just add that the rate of increase in production over the last several quarters has been relatively modest and that has allowed the suppliers to lay in capacity and efficiency improvements in an orderly way and they are performing very well.
Patrick Nolan: Can I just sneak in one more, what percent of your Class 8 volume was the internal PACCAR engine?
Ronald Armstrong: It’s about 40%.
Operator: Our next question comes from the line of Steven Fisher with UBS.
Steven Fisher: I’m wondering about your visibility into 2016 at this point, how much of the 60% growth in orders in Europe would extend into 2016? And to what extent do you have North American orders for 2016 yet?
Ronald Armstrong: I’d say most of the orders for DAF are 2015 build, some 2016 orders, but not a significant amount. And I would say that the build in North America, just a good, a few long term fleet orders that are in the backlog, but not a substantial percentage of 2016 expectations.
Steven Fisher: And would that be about typical with where you’d expect to be for...
Ronald Armstrong: Yeah, right where we expect to be, a lot of discussions are going on right now with customers about their plans for 2016 and indications are that purchase expectations will be very similar to what we’ve experienced in 2015.
Steven Fisher: And then very solid $600 million of free cash flow in the first half of the year. How do you see that shaping up in the second half? I mean, it looks like your CapEx is scheduled to pick up by maybe a couple of hundred million, but how about on the operating cash flow side?
Ronald Armstrong: I think the operating cash flow will be very consistent from what we’ve seen in the first half. As you mentioned, the pace of investment in some of the capital projects will likely accelerate and we’ll continue to invest in R&D.
Operator: The next question comes from the line of Nicole DeBlase with Morgan Stanley.
Nicole DeBlase: So Ron, I guess my question is around the 3Q guidance that you gave. Can you give a little bit more on an order of magnitude, I know it’s normal seasonality to see production dip down in the third quarter as well as gross margins, but can you characterize that at all versus what we saw in 2Q?
Ronald Armstrong: Yeah, I think as I mentioned, just the fact that we typically have a summer shutdown period in Europe and that’s two full weeks and two partial weeks, which impacts the level of production. And so, that’s just normal business. From a margin perspective, as I mentioned, you do have some operating leverage effects of that and the mix of customers is a little bit more tilted towards the fleet side during the third quarter than what we saw in the second quarter.
Nicole DeBlase: And any change to the full year, I think you guys previously were saying about gross margins about in line with what you reported during 1Q, which would then embed like 100 bps of gross margin expansion?
Ronald Armstrong: I think given the performance in the second quarter, it’d probably be up a bit from that.
Operator: The next question is from Seth Weber with RBC Capital Management.
Seth Weber: So going back to the customer mix, I mean, with the fleets, do you expect that to revert back in the fourth quarter to more or like what we saw in the second quarter? I’m just trying to understand if this is a seasonal hiccup that you usually see or if there is something structurally that’s changing here.
Ronald Armstrong: No, it’s just normal month to month, quarter to quarter change in who we’re building trucks for. Nothing more than that.
Seth Weber: So the order book reflects that it would shift back the other way?
Ronald Armstrong: It’s just pretty normal.
Seth Weber: If I could clarify something, there was the $4 million currency benefit that you talked to in the prepared remarks. Is that on the finco or was that total company contribution to profit?
Ronald Armstrong: That was on the financial services, it was a reduction of financial services profit for the second quarter versus the second quarter last year.
Seth Weber: And is there a number for how much currency affected the manufacturing business in the quarter for profitability?
Ronald Armstrong: Yes. Let’s get our hands on that. You’re looking for the quarter?
Seth Weber: Right.
Ronald Armstrong: For the quarter, for the truck and other, it was $12 million of pretax profit negative impact. That was largely offset by a favorable cost on the engine content side from our engines fleet built in our Columbus, Mississippi. And on the parts side, it’s about $12 million pretax profit impact.
Seth Weber: So in aggregate about $24 million total?
Ronald Armstrong: Yeah. And then the $4 million from financial services, so in aggregate about $28 million.
Seth Weber: And then if I could just sneak one last one, the SG&A continues to be lower than what we’ve been expecting, is this a sustainable level do you feel like?
Ronald Armstrong: SG&A has also been benefiting from the impact of currency, a lot of our SG&A is outside the US and so we’ve had some currency benefit. But the level that you’re seeing is sustainable at these currency levels.
Operator: And our next question comes from the line of Andy Casey with Wells Fargo.
Andy Casey: Could you help us a little bit more with the Q3 comment around production, are you basically expecting US, Canada build to be reasonably constant and then everywhere else basically to be down?
Ronald Armstrong: It’s all reasonably constant. I think we’re talking about a 1% to 2% reduction in total truck production for the quarter. So it’s going to be pretty comparable.
Andy Casey: And then the EBIT margin improvement in parts has been strong year over year for a couple quarters now. Are we beginning to see the improvement related to the increased proprietary engine content that you introduced a few years ago start to run through the parts line or is it just fundamentally the mix that you talked about?
Ronald Armstrong: I think there is definitely some benefit from higher increased engine parts sales. We’re up about 90,000 MX engines in the field in North America and hundreds of thousands of engines in the field in Europe. And so that population continues to grow, so we see the benefit of that. And PACCAR parts has done a nice job of developing PACCAR brands and transitioning more and more of the parts sales to PACCAR branded components. So I think the execution by our parts team has been excellent.
Robert Christensen: I’d add that there continues to be excellent leverage in the parts business from our distribution centers globally and we’re benefitting from lower freight rates due to fuel prices.
Operator: The next question comes from the line of David Leiker with Robert W. Baird.
David Leiker: Where are you tracking right now in North America and Europe in your truck plants for capacity utilization?
Ronald Armstrong: We have lots of capacity available in most of our factories to be able to produce trucks to meet customer demand. So it’s not a concern for us.
David Leiker: And then there’s a lot of discussion about where we are in the cycle and I’d say we’re in an elongated cycle here where economic growth continues to muddle along like we are and demand for trucks stays where it is. In that environment, what kind of ability do you think you have to push margins higher given a relatively constant level of high demand?
Ronald Armstrong: Operating leverage is a very positive thing and so to the extent that we can further take advantage of that, there’s some upside. But if you took competitive market and we have great products to provide to our customers and we expect to get good value for what we’re producing and we expect that to continue overtime. We continue to look for ways to make our plants continuously more efficient and achieve cost reductions to improve our results.
Operator: The next question comes from the line of David Raso with Evercore.
David Raso: The stock is not really responding that much to a pretty strong print here so folks are obviously concerned about your ability to grow earnings next year. Can you help us understand a little bit then the moving parts of the incremental margins? Let’s strip out currency, if somebody is looking at Europe next year, let’s assume they think it’s up, can you help us understand the incremental margin difference that we can expect to save and what you’re seeing right now or just some framework of how to think about if you want to model Europe up, what kind of incrementals can you expect in that region to maybe offset some of the North American decrementals?
Ronald Armstrong: David, we obviously expect to the extent that we can increase production levels, there are some operating leverage benefits that go with that. And if you look at the performance overtime, incremental margins had been 20% plus or minus. And so that’s probably more indicative of the longer term trend. And so to the extent that we can get additional volume, I would expect we’d see that kind of performance going forward.
David Raso: But the question was splitting the geographies, because at least the base case is they’re going opposite directions, right. So if North America is down 10% and Europe is up, you name the number, 15%, 20%, whatever it may be, people are trying to figure out of course North America is larger. But what kind of incremental margins could one expect from Europe given you’re more vertically integrated there but obviously pricing is still a bit challenged there. So if you can help us at all differentiating between North America and Europe on incremental margins into next year.
Ronald Armstrong: I think the incremental/decremental is very comparable across the geographies. So there’s no significant difference.
Operator: Our next question comes from the line of Ted Grace with Susquehanna.
Ted Grace: First thing, I was just wondering could you just walk through deliveries by region?
Ronald Armstrong: Sure. We actually added a table in our press release at the very end of the schedules.
Ted Grace: I apologize. I missed that.
Ronald Armstrong: That’s okay.
Ted Grace: Second thing I was hoping you might be able to walk through is just in terms of the situation in Europe with the EC, I know you provided an update in the press release saying that you’re unable to give an estimate for the impact. And I was just wondering if you could remind us why you can’t quantify that? I recognize that there can be different reporting requirements for US versus European companies, but just as a reminder, can you give us the reason why we can’t walk through a quantitative framework? And then related basis, would it be fair to assume we could look at the European competitors at least as a framework to think about PACCAR’s exposure?
Ronald Armstrong: I can’t comment on what the competitors have done. Our press release has an update, not any significant developments during the quarter. So that’s about all I can say about that.
Ted Grace: And then the last thing if I could just ask, I know you said there were a lot of great things going in the business, I think the numbers speak for themselves, but can you talk about where your biggest concerns are, what’s keeping you up at night, anything that’s on the horizon that you’re very mindful of that you would point to?
Ronald Armstrong: We have a great team that delivers great results as evidenced by the press release. And so I sleep pretty well most nights, I got to tell you. There’s always challenges, always opportunities and so we look forward to seizing those and taking advantage of those as we move forward. So that’ll always continue to be our approach.
Operator: The next question is from Ross Gilardi with Bank of America.
Ross Gilardi: I wanted to understand on the deliveries versus the geographic revenue breakdown, so you had an 8% decline in European sales on a 25% increase in deliveries. I understand what’s happened with the euro/dollar, but even if you factor that in, it seems like there’s a big gap and I’m wondering if you can help bridge that, is that pricing or something with the mix or any help there?
Ronald Armstrong: So the effects of the euro on revenue for the quarter was about $250 million. So you add that back to the equation and part of it is a little bit larger mix of the light duty trucks, the model LF compared to the CF, XF mix during the first half of last year.
Ross Gilardi: Anything in particular driving that?
Ronald Armstrong: No, just customer demand, all the trucks are great and the LF is particularly popular in the UK and very well received by customers and that market has grown little faster than the rest of Europe, reflecting their economic growth. And so we’re seeing some benefits from that phenomenon.
Ross Gilardi: And then back on the parts margin, so you’ve had two consecutive quarters of 18% to 19%, should we look at this as the newer and higher baseline going forward? And is there any reason why that number actually can’t go up if you continue to post 6% to 8% organic growth in the parts business over the next several years like you have in the past?
Ronald Armstrong: I think as Bob said, we’ve gotten the benefits of operating leverage and that should continue. Obviously, freight rates are dependent lot on diesel prices. And so that will go up or down as diesel prices move. But again, our team has done a good job of transitioning to PACCAR branded components and with our newest designs, we have a higher element of proprietary content. So I think we’re in good shape and positioned well and shouldn’t see significant movements from where we’re at currently.
Operator: Our next question comes from Mike Shlisky with Global Hunter.
Mike Shlisky: Wanted to ask you guys about Brazil, it wasn’t really mentioned in the press release or in any of your comments. I know it’s been a really rough market this year, wondering if you can give us your thoughts as to how that’s going and whether the DAF volumes there are ramping in line with your expectations.
Ronald Armstrong: So we continue to be a pretty small player in that market. Our team is doing great. The factory is running very well. The quality of the product is excellent and very well received by the customers. Our dealers continue to invest in their facilities to fully represent the DAF brand in the market. The market this year will be down substantially, probably in the 45,000 to 55,000 truck range, South America total probably 70,000 to 80,000 trucks for the year. But we have a great team and a great long term perspective on building our business. And it will be a bigger and bigger contributor to PACCAR’s results overtime.
Mike Shlisky: My other question is about the new parts DC that’s opening in 2016 in Washington. Is there any chance for any kind of a gross margin impact while there’s some kind of a transition or in the opening process there at some point during 2016?
Ronald Armstrong: No, we opened and expand distribution centers on an ongoing basis and it’s just part of continuing to support that growing parts business and our dealers’ needs to have same day delivery to meet their needs. So there won’t be any margin impact as a result of that transition.
Operator: The next question is from Scott Group with Wolfe Research.
Scott Group: Just one quick question, the 40% you’re doing with your own engines in the US, what’s the – any update on the near and long-term target there?
Ronald Armstrong: I think we’ll continue to see that grow, more and more customers a lot of times they’ll start with some level if they’re a larger fleet and as they get experience, most will often increase their percentage penetration in our fleet with the MX engine. So we expect that to continue to grow 50%, 60% overtime. The engine has the capability to meet about 80% of our customers’ needs. So we’re very excited about the potential for that as we progress over the next three to five years.
Robert Christensen: Today, in the North American market, we offer the PACCAR MX 13, beginning next year we’ll also be offering the PACCAR MX 11 engine which was introduced in Europe a couple of years ago with a great success. So we’ll be enhancing the North American engine lineup.
Scott Group: And is 50% to 60% you think that’s a realistic target for next year?
Ronald Armstrong: I think overtime.
Scott Group: How about on the medium duty side?
Ronald Armstrong: We install PACCAR engines, branded engines purchased from Cummins for our medium duty product.
Scott Group: I guess the question was, do you think about doing – expanding into the medium duty on the engine side here in North America?
Ronald Armstrong: It’s always a possibility, but nothing on the short term horizon for us in that area.
Operator: [Operator Instructions] The next question is from Ted Grace with Susquehanna.
Ted Grace: I just wanted to follow up on the outlook for the MX platform, the 13 specifically. Have you entered into conversations with other OEMs unnamed who might be interested in buying that engine from you over time? Is there an opportunity that you could sell that to competitors?
Ronald Armstrong: Typically it hasn’t been our approach. We have a great engine to support our product and we got the capacity to support future growth, but selling to other OEMs is not an avenue that we thought about pursuing.
Ted Grace: Could it be conceivable if it – obviously get you volume and not just pull through but obviously profit margin with that?
Ronald Armstrong: It’s possible, but really not part of our thought process at this time.
Robert Christensen: We do sell a handful of engines to bus, luxury bus and coach manufacturers, but it’s really not significant in terms of overall production mix.
Operator: There are no other questions in the queue at this time. Are there any additional remarks from the company?
Ronald Armstrong: I would like to thank everyone for their excellent questions and thank you operator.
Operator: Ladies and gentlemen, this concludes PACCAR’s earnings call. Thank you for participating. You may now disconnect.